Operator: Greetings and welcome to the Centrus Energy Corporation Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Don Hatcher, Director of Investor Relations. Thank you. You may begin.
Don Hatcher: Thank you, Donna. Good morning and thank you for joining us. Today’s call will cover the second quarter for 2016, which ended June 30th. Here today for the call are Dan Poneman, President and Chief Executive Officer; Steve Greene, Senior Vice President, Chief Financial Officer and Treasurer; and John Dorrian, Controller and Chief Accounting Officer. Before turning the call over to Dan, I’d like to welcome all our callers, as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday afternoon. We expect to file our quarterly report on Form 10-Q tomorrow. All of our news releases and SEC filings, including our 10-K, 10-Qs, and 8-Ks are available on our website. A replay of this call also will be available later this morning on Centrus' website. I’d like to remind everyone that certain of the information that we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and is accurate only as of today, August 11, 2016, unless otherwise noted. This call is the property of Centrus Energy. Any redistribution, retransmission, or rebroadcast of this call in any form without the expressed written consent of Centrus is strictly prohibited. I will now turn the call over to Dan Poneman.
Daniel Poneman: Thank you, Don. Good morning and thanks for joining us. This was a very steady quarter for us and I'm pleased to report that we remain on track to meet our revenue and cash guidance for the year. We continue to expect nuclear fuel revenues of $200 million to $275 million. Total revenues of $275 million to $300 million, and a year-end cash balance ranging between $200 million and $250 million. Centrus operates in a market that is currently over-supplied and where prices are falling. While it's certainly our goal to return to production in long-term, in the current environment, there are some advantages to not having production facility which would impose significant fixed costs, regardless of prices or the volumes and sales. Our CFO, Steve Greene will go over the numbers in greater detail with you. But one thing you will note is that while our average price charged to customers for SWU was down in the quarter compared to the same quarter last year, our cost of purchasing SWU was also down. While changes from quarter-to-quarter are a function of the specific sales and purchases made, the net result is that we continued to sustain a margin even with fallen prices. In the nuclear fuel segment of our business, our gross profit increased by 2% for the quarter and 8% over the first six months of the year compared to the same period in 2015. We're also working to reduce our cost in other ways. For example, we have launched a bottom-up review of our corporate cost structure as we transition to become a smaller, more nimble company. We're not cutting indiscriminately; instead, we're analyzing cost structure carefully, so we cut strategically where we see opportunity to streamline without limiting our ability to grow. We're confident that we can take greater advantage of technology and do things more efficiently. Second, we took steps during the quarter to lower our debt, which strengthened our balance sheet and reduced our interest payments. More specifically, we repurchased a portion of our outstanding debt at a discount to the face value using about $9.8 million in cash to retire $26.1 million in debt. This action was part of the strategic approach to managing our cash that I have emphasized every quarter so that we're able to put it to the highest and best use to meet our operating needs and advance our business strategy. In addition to lowering our costs, we're continuing to focus on growing and diversifying our business. We're engaging regularly with our customers and other stakeholders in the industry to find new strategic opportunities. That process isn’t a sprint, it’s a marathon. It will take some time before it's reflected in our financial results, but I continue to be excited about our future prospects. In this past quarter, we had an important change in leadership, where Larry Cutlip been promoted to Vice President for Field Operations. Larry is going to be exploring how to leverage the outstanding technical capability we have in advanced nuclear field technology for the benefit of the company and also for our shareholders. Finally, let me say a few words about the nuclear market overall. As you know, over the past few months, there have been some disappointing developments in the nuclear industry domestically as utilities announced the planned shutdown of several reactors in Illinois and California. The challenge facing nuclear energy is that the market simply does not reflect or compensate for the unique value that nuclear power provides as a source of always on carbon-free baseload energy. Globally, however, we continue to see signs of growth and there are also positive developments in the North American market with the Watts Burrr Unit 2 entering into operations and additional units continuing under construction. Overseas, more than 60 reactors are under construction and Japan is continuing to pursue a number of reactor restarts. All that is good news for our industry, as well as, for our company. And here's the more important point, for us, in particular. Regardless of whether or not the global market expands, Centrus has significant room to grow. We've read the International Energy Agency projections stating that nuclear energy globally needs to double if the world hopes to avoid temperatures rising more than 2 degrees centigrade in the century. However, even if the nuclear market remains flat, Centrus as a small company has significant runway to grow our order book. We have longstanding relationships with utility customers all over the world in an industry with high barriers to entry. We have seasoned veterans as well as a highly experienced and highly engaged leadership team. I could not be more proud of the work that they are doing and believe that we have the strong future ahead of us. And with that, I will turn things over to Steve Greene. Steve?
Stephen Greene: Thank you, Dan, and good morning everyone. We had a productive second quarter with steady results from the core business and we were able to take advantage of opportunities to reduce our long-term debt while responsibly managing our cash positions. We recorded a net loss of $2.9 million for the quarter, $17.5 million for the six months period. Both results are improvements from the comparable periods in 2015 and reflect the ongoing transition in our business. Total revenue for the quarter was $63.4 million, which is in line with our results in 2015. However, the LEU business accounted for 86% of revenue this quarter as we saw higher sales versus last year offset by a decline in our contract services segment, resulting from the smaller contract under which we're now operating. We continue to affirm our initial guidance for 2016 of total revenues between $275 million and $300 million. Cost of sales were down slightly quarter-over-quarter and our gross profit was $5.5 million, an increase of $1.2 million compared to 2015. For the six months period, our gross profit was $21.3 million, or $10.1 million higher than last year. As is always the case, our results can vary greatly from quarter-to-quarter due to the nature of our business and the timing of customer orders. So, our results are better assessed on an annual basis. We continue to implement the demobilization of our Centrifuge operations in Ohio and the decontamination and decommissioning of the demonstration cascade at the site. We have experienced delays in beginning the D&D as we work to finalize necessary contractual and regulatory arrangements. We're evaluating the impact the delays will have on future costs. In the quarter, cost for these efforts totaled $8.4 million, of which $4.7 million was charged to advanced technology cost, reflecting cost incurred as the facility caretaker and $3.7 million was charged to the accrued D&D liability, which was $25.7 million as of June 30th, 2016. We have fully collateralized surety bonds totaling $29 million, for which we expect to receive to cash as we fulfill our D&D and lease obligations at the site. The D&D work is now expected to extend through 2017 and the additional period costs associated with delays and fully implementing the D&D process are expected. SG&A increased $6.2 million in the quarter compared to the 2015 period. However, $4.7 million of that amount relates to the re-measurement of pension obligations in the two years. Excluding this effect, SG&A increased $600,000 in the six-month period of 2016 compared to 2015, in part due to an increase in consulting cost for business development and other efforts. Finally, as Dan mentioned, we realized a gain of $16.7 million on repurchase and cancellation of $26.1 million in face value of our long-term debt during the quarter. This effectively reduced our outstanding long-term debt by more than 10% as of the end of the quarter. I'll now turn the call back to Dan.
Daniel Poneman: Thanks Steve. So, as you see, we're steadily continuing to execute our business plan. We're taking steps to align our corporate structure to the current scale of our business. We're able to take advantage of falling market prices that provide our customers with low cost supply. We have long-term sales and supply agreement stretching to 2026 and beyond, which positions us strongly in the market. We are on track to meet our revenue and cash guidance for the year, but more importantly, we're managing our business with an eye towards the long-term and are on track to diversify and grow our company. And with that, we’re happy to take your questions.
Operator: Thank you. At this time, I'd like to turn the floor back over to management for any additional or closing comments.
Don Hatcher: So, that will conclude our call this morning. At this time, we'd like to thank you all for your participation and continued support.
Stephen Greene:
.: